Operator: Good day. My name is David, and I'll be your conference facilitator. I would like to welcome everyone to the Aeva Technologies Third Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, today's conference call is being recorded and simultaneously webcast. I would now like to turn the call over to Andrew Fung, Senior Director of Investor Relations and Corporate Development. Andrew, please go ahead.
Andrew Fung: Thank you, and welcome, everyone to Aeva's Third Quarter 2025 Earnings Conference Call. Joining on the call today are Soroush Salehian, Aeva's Co-Founder and CEO; and Saurabh Sinha, Aeva's CFO. Ahead of this call, we issued our third quarter 2025 press release and presentation. which we will refer to today and can be found on our Investor Relations website at investors.aeva.com. Please note that on this call, we will be making forward-looking statements based on current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect our views only as of today and should not be relied upon as representative of our views as of any subsequent date. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For a further discussion of the material risks and other important factors that could affect our financial results, please refer to our filings with the SEC, including our most recent Form 10-Q and Form 10-K. In addition, during today's call, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Aeva's performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. The webcast replay of this call will be available on our company website under the Investor Relations link. And with that, let me turn the call over to Soroush.
Soroush Dardashti: Thanks, Andrew, and good afternoon, everyone. It has been an incredibly busy and productive quarter here at Aeva. Following Aeva Day this summer, where we shared how our breakthrough unified perception platform is enabling new levels of perception for customers across a broad range of applications, interest for Aeva's technology has continued to grow significantly. Our focus has been on achieving important milestones for our partners and positioning Aeva to meet the expanding demand to adopt our differentiated FMCW technology. The key highlight this quarter is our progress with the top 10 global passenger OEM. At the start of the year, we announced that the OEM had selected Aeva for a development program and also issued Aeva a letter of intent for production, where upon successful completion of the development program, the engagement would transition to a serious production award opportunity. I am very pleased to share that we have completed the development program ahead of plan and are now in late-stage contract negotiations for a series production award and more on that later. We also continue to make good progress on the Daimler Truck production program. Aeva's deliverables for the initial vehicle builds have been completed, and we are now shifting our focus to support Daimler Truck's growing vehicle fleet in 2026 and have already received the initial orders for next year's shipments of our Atlas final samples. And overall, we remain on track for Daimler Truck's planned market entry in 2027. Outside of automotive, we are pushing deeper into precision sensing. We have already started shipping against our first 1,000-plus units orders for our Eve 1D sensors. And in just a few months, we have expanded our precision sensing product line with the unveiling of our Eve 1V sensor. This builds on the EV 1D product by adding motion measurements to our product line to address what we believe is more of the multibillion-dollar manufacturing automation market. Reception has been really strong with multiple customers already placing initial orders with the opportunity to incorporate Eve 1D and 1V into their product portfolios. In Q3, we completed installation and bring up of the production line for our Eve sensors in Thailand. The first sensors have come off the line and shipped to customers. And we believe we now have the capacity ahead of time to fulfill next year's volume and we will continue to increase the capacity as the demand grows. Now to support our growing commercial traction across multiple segments and our scaling, today, we announced a $100 million investment from one of the world's leading investment firms, Apollo Global Management in the form of convertible notes. This comes at a defining time in the industry, and we believe it further positions Aeva to support not only the scaling of our existing programs, but to also win additional programs. This also follows our partnership and strategic investment from LG Innotek that we announced earlier this year, further reinforcing Aeva's leadership position in next generation of sensing and perception. So to sum up this quarter, Aeva continues to execute on the exciting and vast opportunities we highlighted at Aeva Day. We believe that we are positioned to finish the year strong, including closing the top 10 global passenger OEM production program decision. And with our differentiated technology and strong balance sheet, we see this as just the beginning with significant potential to continue our momentum into 2026 and forward. Now, let's go into more detail on our key business developments. Starting first with our engagement with the top 10 global passenger OEM. As we shared at the start of this year, this OEM selected Aeva for a development program using our Atlas Ultra sensor for the OEM's next-generation global production platform. We expected to complete the development program by the end of this year, and I am pleased to say that, we have successfully completed it in Q3 ahead of plan. The development program was focused on packaging and integration to be able to incorporate our Atlas Ultra as one standard platform across the OEM's multiple vehicle model lines. This is a global production program with a worldwide rollout plan across geographies, excluding China. And the OEM plans to offer Level 3 across a broad range of their global vehicle model lineup, not just the top-of-the-line models. As part of our joint development, we also successfully completed key performance testing to help ensure that Atlas Ultra enables the OEM to introduce new functions of Level 3 driving, including both highway and city driving. In addition, we completed comprehensive manufacturing audits with our partner, LG Innotek for this OEM and detailed out our industrialization plan for the OEM's planned production. All of this now paves the way for the OEM to make the series production award. As we disclosed earlier this year, we secured a letter of intent from this OEM toward the series production program award, where upon successful completion of the development program, the engagement would transition to a global production program opportunity for Aeva. We are now in late stages of contract negotiations and believe that Aeva is well positioned to supply for the series production program. Beyond this particular program, we believe that the top 10 OEMs selection of Aeva for their global series production program would represent one of the strongest validations of our technology platform, in particular, of the superior performance and maturity of our technology. This OEM has a long history of leading in the automotive industry with significant influence and a reputation for excellence and introducing industry-defining features in automotive at mass volume on a global scale. This would also be the first time a passenger OEM would transition from time-of-flight to FMCW to enable Level 3 for both highway and city driving. As such, we believe their vote of confidence in Aeva has the potential to accelerate the interest in FMCW technology as a blueprint for other fast follower passenger car makers. To that end, we are already engaged with a number of OEMs and industry players across RFI and RFQ stages looking to leverage 4D LiDAR for passenger vehicles, trucking and mobility. Over the course of this year, our pipeline has continued to grow, and we expect our first passenger OEM win to further increase interest in Aeva as other OEMs view the top 10 OEMs decision as a reference design for implementing Level 3 automated driving functionality. Turning to our production program with Daimler Truck. We are progressing well on the OEM's milestones, keeping us on track to meet Daimler Truck's planned market entry in 2027. We have now completed sensor deliveries for the OEM's initial vehicle builds and Daimler Truck, together with its subsidiary, Torc, are operating this fleet of trucks on large routes to validate production intent hardware and autonomous capabilities ahead of commercialization. Aeva is the exclusive long-range and ultra-long-range LiDAR supplier for Daimler Truck's autonomous truck production program, with our Atlas 4D LiDAR playing an important role as the primary detection sensor. We're now preparing for next year to support the expansion of vehicle fleet rollout by Daimler Truck and Torc. And we have already received the first orders for 2026 and plan to deliver our Atlas C samples to fulfill Daimler Truck scaling of vehicle builds throughout next year and ahead of launch. Now moving to precision sensing, with the introduction of our Eve 1V motion sensor, Aeva is expanding into a whole new category of applications within the multibillion-dollar manufacturing automation market. Eve 1V uses our core FMCW LiDAR on chip technology to deliver high-precision contactless motion sensing, which means we can consistently do this more accurately, faster and without the wear and tear challenges of traditional encoders and tactile sensors that are used to measure an object motion in manufacturing today. We also designed Eve 1V for a wide range of applications and flexibility for users across multiple processes. This has the potential to be a game changer for the industry and reception so far has been very encouraging. We have already received initial orders from multiple customers for our Eve 1V sensor. Now, more broadly, the number of engagements for our precision sensing capabilities continue to increase since we first announced our product line this year. Precision sensing is a unique market opportunity for Aeva due to our technology's ability to achieve the needed micron-level accuracy that is not really possible with traditional time-of-flight LiDAR. We are working aggressively now to meet the growing interest, including ramping up manufacturing. And importantly, over time, we plan to expand our product lines for industrial manufacturing and robotics to new categories beyond 1D and 1V to address even more of this major market opportunity. Key to enabling this is the precision sensor manufacturing line at our partner, Fabrinet, a leader in the manufacturing of optical components. This quarter, we completed installation and bring up of our line with the first sensors produced and shipped to customers. We now have the capacity in place to fulfill next year's expected volumes for Eve 1D and building capacity for our 1B sensors following its introduction. We have also started shipping against our initial orders of over 1,000 units that we received just a few months ago. Our ability to scale is driven by our chip-based architecture, which we designed specifically for fully automated assembly process steps. By integrating all optics onto a silicon photonics module, we have significantly reduced the number of components within a LiDAR that can be manufactured with greater efficiency and quality. And through our partnership with global manufacturing leaders, we believe that we can lean on their expertise and scale to ramp production quickly without the need to invest significant levels of CapEx. With that, let me now turn the call to Sourabh, who will discuss our financial results.
Saurabh Sinha: Thank you, Soroush, and good afternoon, everyone. Let me share more about Aeva's third quarter 2025 financial results. Starting with revenue, it was $3.6 million in Q3, with contribution from ongoing sensor shipments to multiple customers as well as NRV, such as for the Daimler Truck program. Moving to non-GAAP operating loss for this quarter. It declined by 13% year-over-year to $27.2 million, which largely reflects our target to reduce full year 2025 non-GAAP operating expense by 10% to 20% year-over-year. Aeva's gross cash use, which we define as operating cash flow less CapEx, was $33.6 million in Q3, which is higher than the prior quarter due to timing of certain payments and working capital adjustments. In addition, we have received cash of $32.5 million in gross proceeds from LG Innotek upon closing of their strategic equity investment. This brought total available liquidity at end of September to $173.9 million, excluding the Apollo investment we announced today. This is comprised of $48.9 million in cash, cash equivalents and marketable securities and a $125 million in undrawn facility that is fully available to draw at Aeva's sole discretion. Let me talk a bit more about the capital raise we announced today. The $100 million in convertible senior notes will provide incremental capital for Aeva to continue to accelerate our ongoing growth. The notes have a coupon of 4.375% payable in cash or stock at the option of the company and conversion price of 115% to the stock price. The notes are due in 7 years in November 2032. This represents a flexible source of unsecured capital, with no financial or maintenance covenants, and we will retain the flexibility to settle the convertible in cash, shares or any combination at our election upon a conversion. For additional details, please refer to the related 8-K. Including the new investment, our total pro forma liquidity position now stands at approximately $270 million, which we believe provides Aeva's strong competitive advantage to support existing programs as well as secure more wins. As we detailed at Aeva Day this summer, Aeva's unified perception platform enables us to bring new levels of perception to a broad range of large markets and applications. Our momentum has only grown since then. And as we continue to execute, we believe that we are in a strong position to convert additional opportunities into wins. With that, let me turn the call back to Soroush for closing remarks.
Soroush Dardashti: Thanks, Saurabh. At a pivotal time for the industry, Aeva is increasing its leadership position in next-generation sensing and perception. We are firing on all cylinders, achieving major milestones on existing programs, progressing towards additional wins and strengthening our balance sheet to scale multiple programs across many markets. I would like to thank the Aeva team for their continued dedication and our stakeholders for their ongoing support. Together, we are in a strong position to realize Aeva's vision to bring the next wave of perception to all devices. And with that, we will now move to Q&A.
Operator: [Operator Instructions] We'll take our first question from Colin Rusch with Oppenheimer & Company.
Colin Rusch: Can you talk a little bit about the ramp in Metrology sales? I mean, certainly, it looks like you have a pretty meaningful opportunity there in a number of applications. I'd just love to understand kind of how that cadence of product rollout really starts to hit as we get to the balance of this year and into 2026.
Soroush Dardashti: Yes. Colin, this is Soroush. Happy to answer that. So obviously, as you know, we're -- as I said, we're firing on multiple cylinders here. So, we announced our Eve 1D sensor just a few months ago earlier this year. Since then, we talked about how the traction in the market has been very strong. Following that, we started getting initial orders. We talked about the first 1,000-plus units orders. And since then, a couple of things that we've done in the past 2 or 3 months. One, we pulled forward our setup of our manufacturing line for the Eve sensor due to this increasing demand. Our team is engaged with multiple tens of customers in this space alone. Each one represents significant opportunity volumes for us. And in this quarter, what we talked about just earlier today was we've now been able to set up the line quickly within a couple of months' time frame and also start building out the units off of this line, and we started to ship the first unit against those 1,000-plus units order already. So that's very important for us, which means we're starting to now crank that gear around shipping units towards those customers. Separate from that, as we also get in the market, we're also getting feedback from customers about the capabilities of our sensors. So beyond measuring micron level accuracy for distance sensors, we have also been able to provide an initial SKU or a new type of product with our Eve 1V sensor, which is now measuring the speed of things on the manufacturing line at a very high level of accuracy, right? So sub-millimeter per second precision. So that is what provides additional opportunities for us. We are already starting getting some orders for that as well from existing customers, also some new customers. But just to give you a rough sense of that, the market for this industry, as we talked earlier, is about 2 million sensors a year for these kind of displacement sensors. And it's roughly ASPs are higher than automotive. So, it's multibillion dollars, $4 billion going to about $6 billion in the coming years. And we are partnering already with some of the key leaders in the space, including SICK and LMI, and others that are coming down the pipe that we can talk about, hopefully as we go forward. And those themselves represent double-digit percent of the market share here, right? So you're talking about, for example, SICK maybe shipping 200,000 or 250,000 sensors annually every year, right? So, when you look at that, I think for us, the way we see the ramp-up is, obviously, it's not going to be overnight, but it's going to be faster also than some of the automotive applications. So, it helps us kind of also fill in that revenue growth and pipeline for the company as we go along. So, we're very encouraged by the reception that we're seeing from the market. Importantly, we're now shifting gears on focus on building the units and we're bringing up the manufacturing line and getting ready for the demand ahead of time for next year, right? So that's what I can share at this point. And as we are able to get additional information from our customers and orders, of course, we'll be talking about that as well.
Colin Rusch: Okay. Perfect. And then as a follow-up, just the L2 ADAS and kind of L2+ ADAS opportunity on the trucking side seems pretty substantial. Obviously, those are some longer sales cycles, but also the articulation of the insurance needs and all the other value capture for the truck OEMs seems pretty substantial. Can you talk about the breadth and depth of customers looking at your solution for that L2 and L2+ sort of application in the trucking market?
Soroush Dardashti: Yes, absolutely. So as I mentioned on the call earlier, we've been focused on the one unified perception platform that can allow us to enter multiple market segments with one core technology without a ton of optimizations using the same hardware platform with adaptive software that can go into addressing these multiple markets across automotive, both for Level 3 and driving as well as entering into Level 2+, especially in commercial vehicles, which is your question, I'll get to that in a second. But also, then applying that to the other markets, including industrial that we just talked about. So specifically, on L2+, one of the biggest debates that we have talked about over and over again in the past few years is the need for LiDAR and then the famous quotes around, you don't need LiDAR for even going into Level 2 -- Level 3 applications maybe but Level 2. I think over time, that argument has fallen. I think Level 3 is very clear with our progress and the successful completion of this top 10 OEM that Level 3 with LiDAR is going to be standard and it's going to be the key enabling feature for making these vehicles and driving the customers' choice of purchase. But on the Level 2+, I think we have a unique opportunity at Aeva, due to our unique technology, which is because of the fact that we can measure velocity, because of the fact that we can do some of the perception of the sensor, we've been able to demonstrate that we can do more, reducing the need and maybe the cost of other modalities in the Level 2 traditional stack, which is today, especially for commercial vehicles, tends to be camera image sensors plus maybe radar and then some compute box. So, one of the partnerships that we have there that we talked about earlier is with Bendix, which is the market leader in North America, part of a large Tier 1 company around providing Level 2+ ADAS. It's really automatic emergency braking. This company is shipping already in the 200,000 to 300,000 fusion systems every year, these automatic emergency braking systems every year. And they're really standard as the technology of choice for the flagship models of many of the top vehicle OEMs, right? Volvo, PACCAR, Navistar, even Daimler in some examples. So we see an opportunity here together with Bendix to provide a next-generation Level 2+ solution that leverages our 4D LiDAR technology, reducing the need of some of those other components and having the combination of image camera plus 4D information, with processing on the edge, an edge device that I think is going to be bringing the cost down -- but because we leverage the same core unified platform, chip technology, we can use the economies of scale to then also provide those benefits and the flywheel effect into other markets. So, we think that's a massive opportunity. We're working towards that. We introduced this partner earlier in the year, but we think that could be another marquee win for us, especially as we close out this top 10 passenger OEM. We think that, that is going to set the reference as a blueprint for other OEMs in Level 3 for passenger and Level 4 in trucking, but also maybe in Level 2+ for certain commercial vehicle trucking applications as well.
Operator: We'll take our next question from Suji Desilva with ROTH Capital.
Sujeeva De Silva: Congratulations on the progress here. My question is really around the length of the design cycle for additional customer opportunities. Looking at the Tier 1 you're on the brink of signing with; I'm wondering the step of having to proliferate the design across their model line. I'm curious, what's involved there and how detailed a process that is? And if there can be learnings from what you're doing here, kind of building a catalog of placements and tweaks and software updates that would be leverageable to shorten the design cycle for future customers.
Soroush Dardashti: Yes, Suji, happy to answer that. This is Soroush. So, look, I think, first of all, I hope you can hear our voice. We are very excited about the progress that we have made and the successful completion of this top 10 passenger OEM program. To give a quick recap, earlier in the year, we announced and said that, we were awarded a development program from this top 10 passenger OEM, along with a letter of intent for the series production award. And we set out that, there are going to be a number of milestones that we're going to be working together to really develop a scalable modular platform for their global production platform. And that's going to be applied to multiple vehicle model lines. So since then, we have completed all the key milestones satisfactorily, which includes, as I mentioned earlier, around packaging and integration of our sensors to make sure that really works across the OEM's multiple vehicle model lineup -- and this is not intended to go into one top trim or premium model only. It's intended to be really as a standard platform across their multiple vehicle models. And two was around aligning our performance, making sure that it really addresses the key use cases, most importantly, to enable Level 3 driving from the get-go, both across highway and then also eventually around city driving, which is we think is going to be a key driver. And then third piece was around really the industrialization and manufacturing, in which together with our partnership with LG Innotek, which we secured along with a strategic investment, we then got to work, and we did comprehensive audits of our manufacturing line with a manufacturing partner, LG Innotek and this top 10 OEM and really defined a clear industrialization plan of how we're going to go to production. So, in some way, this was really the first phase of the series production development. And what we have now is, we said at the beginning of the year, we're going to complete this by the end of the year. We are seeing now the OEM is very eager to also move forward faster, and they're pulling forward that timeline. So, we were able to successfully complete this a quarter early, which is now in Q3, we have completed that. And the work from here really is around -- we're in late stages of commercial negotiations and that -- so we're feeling good about that. Obviously, it's not done until the ink is dry, but we have -- we are feeling confident about our position about securing this program. So that's what I would say. And I think you asked an important question, which is what is the -- what does it work from here, the cycles for additional wins and how could this OEM be relevant. This OEM is a major OEM, a top 10 OEM globally and we see that this program is for worldwide deployment, excluding China. They are making millions of vehicles every year. They're known as a leader to bring in new technology, but also do it at scale. So that's very important. So, I think that -- what we believe that does as they have shown time and again over the many decades is that, it's going to provide a blueprint and a reference design for other OEMs that are looking to provide this Level 3 functionality really with FMCW technology, we believe, to use that and also implement that. So that is going to be basically from a competitive landscape, we think that is going to be critical. So, we believe that this could be a defining moment when we would have that award around our company, but also the industry for the adoption of Level 3 technology in the next 3-plus years, right? So that, I think, is very important in our plans ahead. So that's a quick background on that.
Sujeeva De Silva: Okay. A quick follow-up there on the applicability to mobility, I guess, urban scenarios, where is time of flight sufficient there versus FMCW? Curious your thoughts there as you sound like you're kind of addressing both highway and mobility in your comments.
Soroush Dardashti: Yes. I think -- look, the way I think the OEMs in this OEM and others kind of see it is they're making a platform technology choice that they're going to be working with in hardware, hopefully, for many years to come. This obviously will be a long-term production going into the next decade. And the idea is that, we've talked about it, you need to future-proof the stack, right? And we believe we are at this inflection point where this is one of the first times -- it will be the first time actually that an OEM in the passenger car space will be transitioning from time-of-flight LiDAR to FMCW. And this obviously is a testament to both the technology capability as well as maturity of our products. But also, it is important because they -- we think that is going to lead up to other, of course, programs. My personal opinion is that, in a few years from now, consumers when they buy vehicles is not going to be just based on any more specs on feeds or speeds or infotainment. It's going to really be also importantly around the ease of use and saving us time in our daily commutes and our day-to-day life. And that, I think, is going to be one of the key enablers by Level 3. Like Level 3 driving is going to be the key driver for the sales of cars, not these other things. So that is why I think we're going to see that as you're starting to see some of that in Asia, we're going to see that for the rest of the world that is going to be the key driver for, I think, most key OEMs to go to really have Level 3 from the get-go. And this means it needs to be end-to-end, right? Like you get in the car, and you get to a destination from point A to point B, which includes city driving as well as highway. So long form of that is, yes, we believe that they're choosing one hardware and they're going to use it for all use cases and use a software approach of upgrade over time to be able to enable highway city driving, but most importantly, that Level 3 functionality end-to-end.
Operator: And we'll take our next question from George Gianarikas with Canaccord Genuity.
Unknown Analyst: You have Matt here on for George. Congrats on the quarter. So just to start off, could you guys just provide a little more color on the timeline with Daimler? Like what's kind of needed for the program to reach validation ahead of production? And then maybe just a little bit about the Torc relationship. It looked like they were looking for a capital partner for that. With that and potential slipping of funding, do you foresee any slippage in the timeline?
Soroush Dardashti: Yes, sure. Happy to answer that. I think you had some questions that I think maybe for Daimler. But I can tell you a high level, look, first of all, Daimler Truck and Torc, they have been very clear and public about their commitment to autonomy. This is one of their key drivers of growth. If you look at that from Karen and the management team at Daimler talking even on their public earnings, and they have been very clear and consistent about their messaging. 2027 market entry is on track as a go for us. We are obviously a key portion for the technology and perception detection. So, as I mentioned, we're the exclusive supplier for LiDAR on long range and ultra-long range for Daimler Truck and Torc. We are progressing on track. They are also progressing on track in delivering on their milestones. We have clear line of sight with 2026 vehicle build plans and the growing of that. We actually have received initial orders already, and we're going to start shipping our Atlas C samples against that. So that's important. I think just to also -- you mentioned about capitalization. Obviously, I think that's a question for Daimler and Torc. But as you know, Torc is an independent subsidiary of Daimler Truck, right? And they're investing heavily in this very committed. So, we don't think that, that is a risk topic for us to really worry about. I think overall, the program is really progressing well. And I think, look, if any OEM has the scale to really make this happen and the resources, including capital is really Daimler Truck. And others, of course, are also working on it. We are also engaged with a number of other OEMs in the commercial vehicle space. So overall, I think we're feeling good about that. I think Justin also mentioned Daimler Truck has publicly talked about, I think even recently about the outlook for autonomy because of the use cases in the business case of over, I think, about $3 billion of annual revenues and $1 billion profit by 2030 just from autonomous trucking. So that -- I think it's important for the industry that players, including Daimler Truck and others, make this happen. And we think the timeline remains in '27 and the scaling is going to go from there. So, we're feeling confident about that and our ability to deliver against it.
Unknown Analyst: Great. And maybe just to switch gears here. It looks like you guys obviously raised the $100 million investment from Apollo. Could you just provide a little more color on what you intend to use that for and how that's going to help you just push commercialization faster?
Saurabh Sinha: Matt, this is Saurabh. Happy to take your question. So, the $100 million in convertible notes is for general corporate purposes. We are already, as we mentioned in our prepared remarks, making tremendous progress with our customers and potential customers. And we use our unified platform, perception platform, which helps us to execute on multiple wins and bring new customers on board without any step function increase in our expenditure. In fact, we have been very disciplined in our capital allocation and spending and this year, we are coming down from last year in the range of 10% to 20% on a non-GAAP OpEx basis despite increasing our commercial momentum. So, we feel pretty good about it. It's for general corporate purposes.
Soroush Dardashti: Yes. And just to add to that, I think, obviously, Apollo by themselves, the name is one of the leaders in financial investments. We're excited to have them as partners. I think it sends a clear signal as sole investor party to really support our growth and momentum here. And it comes at an important time, I think, for our company, but also an inflection point in the industry. I think we have all the pieces in place. We have methodically, as we talked about, set out our plan to grow from each segment, establish a leadership position within key players, we are executing on that, and we're looking forward to execute that well, right? So, from automotive, from trucking with Daimler Truck, passenger top 10 OEM and others that we're working on, industrial with SICK, LMI. We have the partnership with LG Innotek around that for industrial as well as the robotics applications and then expanding from that. So that we're very excited about the progress so far. And obviously, we're looking forward to continue on this momentum.
Operator: And we'll take our next question from Richard Shannon with Craig-Hallum.
Richard Shannon: Apologize for the ambient noise rolling through an airport here tonight. I guess, I'll ask kind of a 2-parter around the top 10 OEM. Just want to make sure that you're in an exclusive negotiation position. There aren't any other competitors here. I think you alluded to that's probably the case, but I just want to make sure that, that is accurate. And then also maybe if you can elaborate, hopefully, you mentioned this before when I was on the call, but what kind of time frames are we looking at for ramping here? I would assume it's earlier than '27, but just want to get your take on that sort of.
Soroush Dardashti: Yes, absolutely. Look, I don't want to comment on anything that is sensitive or confidential information, obviously here, but I think, hopefully, you can see from the updates we provided, we feel that we are the only party here that is going through this late-stage negotiations. But I will stop at that. I think we're feeling good about securing this production program. And importantly, I think the timing of that is pulled forward, so to really get going on this. So, you asked about kind of what it looks like from here and kind of the timing. I think, look, the point of this initial development program was to ensure that we have a solution jointly that's going to be applicable to the OEM's broad vehicle lineup. It's going to be from an integration standpoint, it works across multiple trends, multiple models that the performance enables Level 3 driving for both highway, as well as city, and to also make sure that we have the proper industrialization plan and comprehensive audits, and all of that so that we can really hit the ground running. The team is working very diligently on that. This is in another way or form, really the first stage of the series development already. So, we are really hitting the ground running. And we think that we are on track for this late '27, early '28 timeline for the launch of this OEM. So that's been the timeline that we have been working with, and we are excited to deliver on it.
Richard Shannon: Okay. Appreciate that detail, Soroush. My last question here is just from this comment in the press release, I suspect you may be addressed in the prepared remarks today, did not get it early to hear, but you're just talking about growing interest and engagements from other major OEMs leveraging for L3 automotive applications here. Is there some sort of catalyst or other event here driving this related either to the market or to Aeva's products and technology development? Maybe just clarify what you meant by that.
Soroush Dardashti: Yes, absolutely. Look, I think we have been obviously engaged in a number of programs across various stages from RFIs to RFQs in multiple segments within automotive as well as industrial. Your question, I think, is around automotive. Within automotive includes passenger, multiple programs there and trucking. I think one -- there's multiple, I think, factors that have been happening, of course, in the industry as well as, I think, with Aeva. So first of all, we have laid out a clear foundation of our path to winning business and delivering on it, which includes partnering with the leaders in each respective space, which means they have to also want to partner with us and select us; and two, leveraging our perception platform and the chip-based technology to scale that according to their time lines; and three, be able to apply that without having to invest heavily in a bunch of new CapEx or a bunch of new teams for different product lines and segments using this approach of the one platform. So, we've been able to do that. I think obviously, with our progression and the successful completion of this development program with the top 10 passenger OEM, and we hope that upon a production when this will be the first time that a passenger car maker will be transitioning from time-of-flight to FMCW to enable a key use case that's differentiated for the end customers. And we think that, that is a key driver with some of those uptick in the engagements for us. We think that, that has the potential to provide us with potential additional wins in a faster time frame than we have in the first one. As you know, first one is always the toughest. But I think importantly, because this OEM is really seen as a leader in automotive, introducing new technology, but doing so at scale, they ship millions of vehicles every year. We think that, that is going to be a catalyst and really a blueprint, or a reference design for other OEMs and fast followers to also enable that functionality. So, I think that's part of the main interest in this space. The second piece also, I think, is around some of the consolidation in the market. We have always talked about that even though Aeva came as one of the last players in the space, we took a contrarian path, but one that we believe is going to have the future-proof technology. And similar to radars who transitioned from kind of pulse-based atomic flight system to FMCW, we have always believed and talked about that, that will be a transition that will happen over time as well. So, I think that is with both the developments in the market, some of the consolidation in the players as well as the transition of the OEMs to technology here that is more FMCW based, we think are going to be the catalysts in our growing momentum within automotive and also additional markets.
Operator: Thank you. That does conclude the final question we have for today, and this will conclude Aeva Technologies Third Quarter 2025 Earnings Conference Call. Thank you all for your participation. You may now disconnect.